Operator: Good morning, ladies and gentlemen. Welcome to CGI's Second Quarter Fiscal 2023 Conference Call. I would now like to turn the meeting over to Mr. Kevin Linder, SVP of Investor Relations. Please go ahead, Mr. Linder.
Kevin Linder: Thank you, Julie, and good morning. With me to discuss CGI's second quarter fiscal 2023 results are George Schindler, our President and CEO, and Steve Perron, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 AM Eastern Time on Wednesday, April 26, 2023. Supplemental slides as well as a press release we issued earlier this morning are available for download along with our Q2 MD&A financial statements and accompanying notes, all of which have been filed with both SEDAR and EDGAR. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The complete Safe Harbor statement is available in both our MD&A and press release, as well as on cgi.com. We recommend our investors read it in its entirety. We are reporting our financial results in accordance with International Financial Reporting Standards or IFRS. As always, we will also discuss non-GAAP performance measures, which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are Canadian, unless otherwise noted. I'll now turn it over to Steve to review our Q2 financials and then George will comment on our business and market outlook. Steve?
Steve Perron: Thank you, Kevin, and good morning, everyone. I'm pleased to share with you the results of our second quarter of fiscal 2023. In Q2, we delivered CAD 3.72 billion of revenue, up 13.7% year-over-year, or up 11.4% when excluding the impact of foreign exchange.  The following segments generated double-digit constant currency growth. Western and southern Europe up 28%, Finland, Poland and Baltic up, 14%; UK and Australia up 11% and Asia-Pacific up 21%. Notably, we continue to see an increase in overall demand for our global delivery, especially offshore. As a result, our offshore operations are now 23% percent of our total employee base, up from 22% in Q2 of last year.  From an industry perspective, we had constant currency growth across all sectors, notably, Financial Services grew 16%, government grew 12%, and manufacturing, retail, and distribution also grew 12%. From an IP perspective, IP as a percentage of total revenue was 21% in the quarter. We continue to see strong demand for our business solutions supported by an increase in IP revenue in seven of our eight proximity geographic segments in Q2.  Notably, Canada's IP Revenue grew by 39%, western and southern Europe’s IP revenue grew by 32% and Scandinavia and Central Europe’s IP Revenue grew by 28%. The number of our consultants and professionals increased year-over-year by 7,000 representing an 8.3% increase totaling now 91,000 worldwide.  We booked $3.8 billion of contract wins in the quarter, representing a book-to-bill ratio of 103% compared to 101% in the same quarter last year. On a trailing 12 month basis, our book-to-bill ratio reached 109% with seven of our eight proximity geographic segments having a book-to-bill ratio above 100% led by UK and Australia with a book-to-bill ratio of 128%. US commercial and state government with a book-to-bill ratio of 120% and Finland, Poland, and Baltics with a book-to-bill ratio of 117%.  Our Q2 IP book to build ratio was strong at 118% given the strong value proposition for CGI's business solutions. This is reflective of the ongoing investment in our IP, which is now generating larger and longer term IP engagements. Overall, our global backlog reached a record of $25.2 billion representing 1.8 times revenue.  Turning to profitability, earnings before income taxes were $564.5 million, up 13.2% year-over-year for a margin of 15.2%. Adjusted EBIT in Q2 was $601 million, up 14.7% year-over-year. This represents an EBIT margin of 16.2%, up 20 basis points year-over-year and up 10 basis points sequentially. The year-over-year increase was driven by the combination of strong revenue growth and operational discipline.  We delivered strong EBIT margins in the following segments; Asia-Pacific up 30.9%, Canada up 21.7%, and Western and Southern Europe at 16.7%. Our effective tax rate in Q2 was 25.7% compared to 25.4% in the prior year. We continue to expect our tax rate for future quarters to be in the range of 24.5% to 26.5%.  Net earnings improved to $419 million for a margin of 11.3%, this compared to $372 million in Q2 last year. Diluted EPS was $1.76, representing an increase of 15% year-over-year. When excluding integration and acquisition costs, net earnings improved to $435 million for a margin of 11.7%. This compared to $374 million in the same quarter last year.  On the same basis, diluted EPS was $1.82, an accretion of 19% when compared to $1.53 in the same quarter last year. This Improvement was mainly driven by the successful execution of our build and buy profitable growth strategy.  In the quarter, cash provided by operating activities was $469 million, compared to $473 million in the prior year. DSO was 41 days, compared to 42 days last year, well within our target range. For the last 12 months, cash provided by operating activities was $2 dollars or 14.5% of revenue.  In Q2, we invested $107 million into our business and $400 million to buy back our stock repurchasing 3.3 million shares at a weighted average price of $119.58. As of the end of March, we had the authorization to buy back up to an additional 15.4 million shares under our current program.  In the quarter, we continue to deliver a strong return on invested capital at 15.6%, demonstrating our efficient deployment of capital. Looking ahead, our focus continues to be on delivering value to our shareholders by; investing back in our business pursuing, accretive acquisitions and repurchasing our stock and/or paying down our debt.  With a net debt to capitalization ratio of 24% at the end of March, as well as $2.8 billion of cash readily available in excess to more if needed, CGI has the strength and capital resources to continue to power our build and buy profitable growth strategy.  Now I will turn the call to George to further discuss insights and outlook for our business and markets. George? 
Steve Perron: Thank you, Steve, and good morning, everyone. This quarter, we again delivered financial results in line with our planned profitably grow at or ahead of the markets where we operate and to continue delivering double-digit EPS accretion. Thank you to our 91,000 consultants and professionals around the world for earning the trust of our clients every day. Your expertise, insights and commitment made these strong results possible.  Today, I will focus on our performance for the first half of the fiscal year, as well as the demand outlook for the second half. On a year-over-year basis for the first six months of our fiscal year, CGI delivered 11.8% revenue growth on a constant currency basis. 15.2% EPS accretion on an adjusted basis and over $1 billion in cash from operations or 15% of revenue, up 12.3%.  For the first half of the fiscal year, revenue growth on a constant currency basis was broad based across all segments, all services and all industry sectors with notable industry sector growth of 16.3% in financial services, 12.1% in government, and 11.6% in manufacturing, retail and distribution.  Looking ahead to the second half demand in these industry sectors, we see the following: in financial services, given the recent macro turbulence in this sector, areas such as managed services, intellectual property based business solutions, and enterprise data strategy and services are generating the most client demand.  In government, client spend is rising from modernization. In IP services and support of new policy initiatives, and in manufacturing, retail and distribution, client interest is increasing for managed services to realize cost savings and business processes.  Bookings were strong during the first half as we awarded over $7.8 billion in new engagements, an increase of over $950 million, a 14% compared to the first half of last year. This stress spanned across each of our end-to-end service lines with managed services bookings up 12% over the first half of fiscal 2022.  Consulting and systems integration bookings up 15% and IP-based business solutions bookings up 29%. Specific to the second quarter, awards for renewals and add-ons with existing clients were particularly strong as we sustained our incumbency. These existing enterprise clients continued to turn to CGI as a trusted partner for expanded modernization and digitization initiatives.  In fact, we achieved a renewal rate of over 95% with increased awards that included new scope. As a result we expanded our client relationships and created new opportunities to bring a fuller complement of our end-to-end services and support of client Initiatives.  For example, in Q2, one of the world's largest Property and Casualty insurers, extended its 20-year partnership with CGI related to their use of CGI’s rata based IP solution. The administrative office of the US Courts awarded CGI 10-year contract building on our ongoing relationship supporting their financial management portfolio, including the use of our Momentum IP.  TD Bank Group, a top 10 North American Bank extended CGI's, ongoing services for the delivery of a secure and reliable shareholder management system which is part of CGI's Wealth 360 IP Solutions suite. Under this four-year agreement CGI will provide extended support as part of the bank's ongoing modernization strategy.  PSE Poland’s electricity transmissions operator awarded CGI four year engagement to build, implement and support a next-generation central energy market solution, leveraging our deep expertise in the energy and utilities industry, and CGI’s proven data exchange IP.  The Swedish Social Insurance Agency, selected CGI as a strategic, business transformation partner to support the modernization of the agency's operations and the digitization of its core citizen-facing processes.  And Fraport, one of the world's largest airport operators with business activities at 29 airports across four continents selected CGI as its digital partner under a new five-year framework agreement aimed at further enhancing the digitization of Frankfurt Airport.  Turning now to our buy strategy. M&A consolidation activities has recently slowed across the IT services market, keeping fragmentation of the market at a high level. This will continue to favor CGI given the strength of our balance sheet and our One Company integration approach. Our pipeline remains robust with a steady influx of new opportunities identified through our expanded sourcing strategy.  We remain disciplined in our approach to ensure our M&A investments are accretive for shareholders and have the necessary cultural fit to deliver ongoing benefits for all CGI stakeholders.  Looking ahead to the demand environment, for the second half of fiscal 2023, we have visibility into clients’ priorities and expected budget plans given our proximity model and close relationships with clients at all levels.  Our pipeline reflects CGI’s strong position to meet shifting client priority, as a value of new opportunities in our pipeline grew by more than 15% on a sequential order basis. Client interest remains notably high for larger managed services engagements that incorporate CGI's end-to-end services, help clients realize cost savings and drive business transformation programs.  The pipeline over the next year reflexes intensified interest in managed services as the total value of these opportunities is up by more than 20% on a sequential quarter basis. These larger managed services opportunities do have longer sales cycles, given their broader scope. Importantly, we are actively engaged in later stage opportunity pursuits with multiple prospective clients in every geography.  Each case, we work collaboratively with client executives to build solutions that combine and tailor the right mix of CGI services and solutions to address the organization’s business objectives. Our outlook on client demand was further validated by the preliminary findings of our annual voice of our clients’ proprietary research.  Our leaders recently met with over 1,750 executives at companies and government agencies around the world. Topics covered in these discussions range from macro trends influencing clients business strategies, the digitization priorities and budget plan. We're in the process of analyzing this valuable input from current and prospective clients.  And I'd like to share the three preliminary findings that we see shaping client demand. First, clients are placing a sharper focus on prioritizing investments and returns. Second, given the heightened pressure on profitability, more clients indicated their willingness to outsource the portion of their IT landscape as a managed service over the next three years.  Finally, deeper partnerships with external services providers are deemed increasingly essential help clients achieve their holistic digital strategies. As the prioritization of investments gets sharper, clients are placing a spotlight on the most critical digital initiatives that will deliver the highest financial returns and drive organizational benefits. This is also leading clients to place a higher value on external partners like CGI we’re capable of providing ROI-led innovation. While clients are getting more focused on what they invest in over half of executives we interviewed said they plan to sustain or increase their overall IT services spending over the next year.  In addition, 84% of client executives indicated they continue to have difficulty hiring IT talents. In terms of partner ecosystems to help deliver on client IT spend, we observe a new duality taking shape, specifically for clients engaged in trusted partnerships with their existing IT services providers, they are more inclined to expand and extend those relationships.  Yet, at the same time, clients are increasingly open to engaging with new providers that embody the partnership qualities they value. At CGI, building trusted partnerships with clients is intrinsically linked with CGI's culture of ownership and accountability model.  CGI’s collaborative working style extends the creating a positive partnership foundation with clients and continues to be a strong differentiator for how we attract and retain the best talent. The CGI employee value proposition is grounded in trust, collaboration and a commitment to operating as one team. This is the essence of our culture and corridor ongoing talent Investments, which are making a significant difference.  The satisfaction of our consultants and professionals continues to rise to new highs. Turnover reduced sharply in the quarter remains below the IT services industry average. Our depth of Industry expertise, which we continue to deepen through hiring and development is recognized by clients with an all-time high satisfaction score and 84% of our now 91,000 consultants and professionals are CGI owners collectively aligning us to common success factors.  Most importantly, again this quarter, the highest-rated client satisfaction scores were related to the quality of our relationships. This includes both CGI's commitment to clients and the intent of clients to engage us again in the future. Both of these scores which come from signed client assessments were at record high levels of over 9.5 out of 10.  In closing, now more than ever, CGI's culture, proximity model and commitment are anything greater demand, we were well positioned to remain a partner and expert of choice for clients and our environment for our consultants and professionals and engage ethical and responsible corporate citizen and investment of choice for our shareholders. Given the strength of our first half performance and the alignment of our strategy and model with the priorities and budget plans of our clients, we remain confident to continue profitably growing CGI, through our build and buy strategy.  Thank you for your interest and support. Let's go to questions now, Kevin. 
Kevin Linder : Thanks George. Julie, can you please share the logistics with the participants? 
Operator: [Operator Instructions] Your first question comes from Thanos Moschopoulos from BMO Capital Markets. Please go ahead. 
Thanos Moschopoulos: Hi, good morning. 
Steve Perron: Hi, George.
Thanos Moschopoulos: Hi. I was surprised by the strength in the interested in the SI&C national backdrop, I would have thought with the recent acceleration there, and your comps were suggesting that you are also seeing growth in the SI&C pipeline, can you provide some color in terms of, is it broad based, is it more focused on certain geographies, and then what kinds of initiatives are driving those SI&C bookings? 
George Schindler: Yeah. Thanks Thanos. Yeah. The growth was strong across, so IP and financial services and government is pretty broad based SI&C was stronger, both in MRD, and in government. In MRD, it’s really around some of our larger in engagements for larger clients. And it just shows how they're looking to use technology for things like smart data, smart factories, et cetera.  And then, of course, government is really going through a modernization phase and they'll continue to do that. But managed services and IP were also strong in government. We're encouraged that SI&C for those larger clients remains so strong in the bookings. There is a lot of add-ons rather than straight new business. And I think this goes to the partnership qualities that CGI has and not just maintaining our incumbency, but extending and expanding on that on that incumbency. 
Thanos Moschopoulos: And then on the macro, a number of your peers have suggested that there's been some softening in the last 90 days, especially in North America. Are you seeing some of that thing as well, or your perspective has been more consistent just getting the specific verticals that you focus on? 
George Schindler: Yeah, we saw our bookings were pretty strong in North America, particularly in the in the U.S. at 120% book-to-bill. I think in general, there is a little more caution. And I mentioned this last time, I think the SI&C there's more caution. A little slower to make some of those decisions that the demand is still there. But little more purposeful, as I mentioned, certainly around the return on investment, the focus that they have. So I think it's getting more focused.  And in general, we're seeing more of those ROI-led projects and even in the managed services space, they're getting larger. Of course, those take a little bit longer and I think that's what you're seeing in some of these and some of these booking numbers. 
Thanos Moschopoulos: Great. I’ll go offline. Thanks, George. 
George Schindler: Thanks, Thanos. 
Operator: Your next question comes from Paul Treiber from RBC Capital Markets. Please go ahead. 
Paul Treiber: Well, thanks so much and good morning. Just want to dig deeper into managed services. The book-to-bill was a little bit lighter in terms of bookings this quarter. Is that, it sounds there is lumpiness there. Could you just speak to any of us to the pipeline, but the conversations regarding the pipeline and the potential cost optimization and when you could see that coming through in terms of bookings, just relative to the environment here? 
George Schindler: Yeah, well, like I said, we're encouraged by the later stage discussions we’re having on managed services. But given their broader nature, they just in general take a little bit more time to close. And again, because they are such strong business case driven, they want to get that right. In general, they're very positive partnership type discussions. More so partnership related than just procurement-driven. So that's a certainly, I think a positive, it’s not that procurement isn’t evolved, that's but they really are focused on those business cases.  Not just the input price and the returns and that's where I think the partnership focus really comes in. So, it's just a matter of timing. Bookings are always a little lumpy. You can see that it actually went up on a trailing 12 month basis. So, I don't think there's any much to read into that at all. We're staying focused on closing the right deals for both us and for the client. 
Paul Treiber: And just looking at geographies, Europe has been really strong here and shown a steady improvement over the last several years. What fundamentally has changed for your business in Europe where you're seeing to steady positive organic growth? 
George Schindler: Yeah, I think it's a combination of factors part of it is a more resilient business mix. So whereas maybe before it was primarily systems integration and consulting. Now, you see some nice growth on the IP bookings. We've actually acquired some IP around open media. There's some good bookings there. Retail suite, good bookings there, some investments that we've made in bringing the full suite of CGI’s end-to-end services to these global clients and I think operating also as more as one team you are seeing more deals working across the various countries for larger enterprise clients there in Europe. So, I think they all factor into that opportunity and also we made some changes in the leadership. So that’s a part of that investments in leadership and talent is absolutely part of it. 
Paul Treiber: All right. Thank you. I’ll pass the line. 
Operator: Your next question comes from Richard Tse from National Bank Financial. Please go ahead. 
Richard Tse: Yes, thank you. It looks like you had some pretty solid organic growth. I was wondering if you maybe give us a sense of how much of that growth is being fueled by acquisitions, meaning, the capabilities that you have may have sort of brought on board through some of these smaller acquisitions in past years? 
George Schindler: Yeah. Well, thanks for the question, Richard. Yeah. What we see, and I think I mentioned this in prior discussions, but we definitely see is that the organic growth is typically strongest in areas where we have done more of those metro Market acquisition. Part of it’s the skillsets, part of it is the new client relationships that we have opportunity to sell the larger set of CGI's end-to-end services into.  And so, you do see that, you see that in certainly in Western and Southern Europe. You see some of that in Central Europe and Scandinavia. And so definitely that is, as I always mention, those metro market acquisitions are a catalyst for organic growth in the future. And that is why we remain very disciplined on our M&A strategy, because we want it not just to be inorganic growth and one plus one equal two, but we want it to be a catalyst for growth and one plus one equal three or more. 
Richard Tse: Okay. In terms of this growing momentum of AI, what do you think the implications are in regards to sort of digital transformation initiatives with your clients? And do you think it has the potential to cause pause and projects as they assess the potential capabilities here going forward? 
George Schindler: Yeah. It's a great question. I don't have a crystal ball. But I don't see it slowing anything. Our view is that in general, technologies like generative AI simply make experts more productive. It doesn't make the layperson an expert. So I don't think you're going to see that that necessarily slowing. Having said that, we just did the voice of the clients and I'll just share some data with you.  Two-thirds of our clients indicated in that in that research that they're either investigating or doing a proof-of-concepts on AI and yet you see that that has an impact of anything. In fact, we're playing part of that investigating with them. The rest are pretty evenly split. About 20% are not doing anything at all, and about 15% are actually suggesting they are in some level of implementation of AI.  So I think people are moving into this rather cautiously and looking to partners like CGI to help them think that through, in fact, we've been investing this. It's part of not we've created our own IP framework that allows you to quickly create closed domain models, which then are easier to integrate into existing applications. And of course, we're also integrated that into our existing IP.  So I actually think it's going to be more of an opportunity than anything. Of course, with the cyber security concerns, the data privacy concerns, probably future regulation you see some of the IP and copyright concerns, I think it's going to take some time for that to go there. So I don't think it's going to slow anything down. If anything though it's going to, we're going to be looked on as advisors in that space. 
Richard Tse: Okay, great. Thank you for those comments. 
George Schindler: Sure.
Operator: Your next question comes from Daniel Chan from TD Cowen. Please go ahead. 
Daniel Chan: Hi, good morning. George, congrats on the strong quarter. So, you guys mentioned that financial services performance remained strong with its revenue growth in bookings. And it sounds like H2 is expected to also be pretty good. Just can you give any color on how your customer conversation in the space are going just given all that uncertainty? 
George Schindler: Yeah, it’s – I guess, what I should start with is, we’re mostly working with the large banks. Okay? So, over three quarters of our banking business in the US, for example, is with the 10 largest banks, by definition it would be with the top seven or eight banks in Canada. And, but the remaining is spread in the U.S., it’s spread across - spread pretty evenly across the other banks that’s mostly router IP.  So, the discussions we’re having and in Europe, it’s very similar. Over 90% of our banking business in Europe is with the top five banks in the country and over 50% is with top 20 - top 20 banks across all of Europe. So, we're working with the larger banks. And so, naturally, they're looking at this there's a bit of an opportunity maybe to do some consolidation.  Certainly, they're seeing increases in their own bank deposits. And so, our discussions are more around how do we help them play into that? It's very similar discussions around the modernization and the digitization. We haven't really seen much. In fact, I was meeting with a large European bank right at the time that a lot of that that initial turmoil had spread from the US to Europe and they are pretty much staying the course. So it's interesting.  They are more open and willing and that's just in general. They have been for a little while to go to the IP. And so, IP is certainly a strength. It’s driving some of this more willing to go to the managed services. Not so much because of the market turmoil, but more because of the difficulty in hiring IT talent. So, we're seeing those happen.  And so, my discussions with CEOs, CTOs are fairly stable. Consistent discussions that we've had prior to the turmoil.
Daniel Chan: Thanks for that. And then, if we just move to like the US commercial and state segment, the margins there were lower this quarter. Just any color on what drove that and whether you see that continue? 
George Schindler: Yeah. Yeah. No, that I wanted to point that out. We do see less - some less IP licenses in the quarter. That's always lumpy. So that's, that usually works itself out. But we also saw some projects successfully end and other projects not start in the same timing level. So, we do have new starts given the strong bookings on 120% reporter and 120 plus percent in the trailing 12 months.  We have some rate increases that have worked their way into the system. So that’s a tailwind. But we definitely are taking actions to monitor utilization to ensure that what we see is a bounce back. That's certainly the plan is that to see a bounce back to those, mid-teens in the US business. So - and you saw a bit of that, by the way you saw a bit of that in WSE.  The same thing where they had some projects successfully in little bit slower as I mentioned in starting up new projects and you saw a little bit of that in WSE last quarter, and you saw the nice bounce back there. So, I think that's what you'll see in the US business. 
Daniel Chan: Thanks, George. 
George Schindler: Yep. 
Operator: Your next question comes from Jerome Dubreuil from Desjardins. Please go ahead. 
Jerome Dubreuil: Hi, thanks for taking my questions. A couple if I may? You've commented in the past, on the past, excuse me, that the cloud results are just slowing down the a cloud from hyperscalers had little correlation with your own results. The focus on profitability, we’ve seen Google with a profitable cloud business last night. Are they being - are there focus on profitability any impact on your business? Or is this all pass through? 
George Schindler: Well, we're not really - we're not really working in the, in the passthrough business of the cloud provider. So, when you’re looking at our revenues, there's very little if any passthroughs fails of cloud. We're really in the deployment of the cloud and in that case actually is why I mentioned that you don't see a direct correlation because what you see is a number of clients actually are looking to get more purposeful about how they move applications into the cloud.  What their decisions are. And so we're seeing actually consulting rising associated with cloud advisory. We're seeing our cloud factory business continue to be strong and helping clients move things to the cloud, rationalize their applications. So you're seeing more of that. And in fact, if you look at our partnership revenue associated and again, it's associated. It's not, it's not the software.  It's not the selling of the cloud, but the services associated with the cloud we've actually booked as much revenue in the first six months of this year as we did in the prior total year. So the partnership - the partnership with firms like the hyperscalers and the platform providers is actually pretty strong. 
Jerome Dubreuil: Okay. Thanks. And then, regarding M&A, your share price has done extremely well over the last few months. Congrats with that. Is your share price a consideration when you are considering M&A? In other words, is your accretion calculation based on your multiple in the market? Or this is not really in your observation? 
Steve Perron : No, Jerome, thank you for the question. Really, it's the same discipline as you're used to at CGI. Look, we want - as George mentioned, we want acquisition that will fit with our culture and that we’re looking really for acquisition that will going to be - will be an accelerator to grow as George mentioned. And we really want something that will do one plus one.  With that that equals more than two under one plus one. So that's really the goal. It’s same, same strategy. Our evaluation doesn't change really how we see M&A.
Jerome Dubreuil: Okay. Thanks and then I'll squeeze one last in. Congrats for the really noticeable improvements in terms of Scandinavia Margins. Really seeing that you're kind of shuffling your segments is paying off there. How far along do you think you are in terms of fixing the Scandinavia business? Is there still quite a bit left to go there? 
George Schindler: Yeah. No, thanks for the - thanks for the question. There is a little more - there's a little more work to be done. But the positive news is that, not always pick some of the structural items and that is, that is mostly behind us. But we're also returning to growth. And that's really where I think you'll continue to see the progression. So, I don't think it's a, it's a headwind anymore. I think it's a tailwind moving forward. 
Jerome Dubreuil: Great. Thank you. 
Operator: Your next question comes from Divya Goyal from Scotiabank. Please go ahead. 
Divya Goyal : Good morning, guys. Great quarter. So, thanks a lot for all the color that you’ve provided on bookings. But I wanted to get a little bit deeper on this bookings pipeline that you have. Some of the global IT companies recently indicated that they're seeing an increase in less than $100 million bookings. Is that the same sort of - is that similar to what you’re seeing in general? And what your take on North America versus Europe growth on a global basis for yourself, as well? 
George Schindler: Sure. Well, first on the bookings, I'll answer it two ways. For the quarter’s bookings, I think we saw a similar situation where we had fewer 100 million dollar-plus bookings and I mentioned some of the expansions and the add-ons. And the partnership view that was driving some of that across industries. But looking forward, we still see some very large multi-year managed services deals and I think it's just a it's just a timing factor that that you see that now.  And I we kind of talked about this on the call earlier. Last quarter, Divya, where I said you know the SI&C deals were getting a little bit slower. The managed services deals are getting a little bit faster, but they're still because of their broad nature are still longer to close. So, I think you're just seeing some of that air pocket on the booking. So, I don't think yet it's a trend to be seen.  As far as Europe versus North America, not much, you heard more caution in Europe, but, I was there two weeks of the last month and that's not what I heard from clients. Clients are certainly more focused. More determined to get the ROI. More partnership focus for sure. It's all that the items that I highlighted and the in the opening remarks.  In the U.S., you hear less caution in the narrative. But when you're talking to clients you have there's still some caution there, both in Canada and in the U.S. So probably to the narrative, you see a little more caution in US and to the narrative you see a less caution in Europe. But it's pretty similar. And again, I'm talking from a point of enterprise clients. 
Divya Goyal : Yeah, totally good. Thanks a lot. That was great color. So let me shift gears here a little bit. So, we see M&A is something that markets looking at CGI for the first few months have been a little bit slower. So what can we expect from an M&A standpoint from the company? And also a question I also want to understand how are the company's integration efforts been with respect to your manners and what can we expect going forward on some of the recent acquisitions that you've closed? 
George Schindler: Yes, well maybe I'll start with the integration and then we'll talk about more general M&A. So the integration with Umanis is continuing to so show steady progress according to our plans. It does take a little bit longer in certain countries. So, you're seeing - you're seeing some of the, some of the tail there. You saw that even in some of the cash.  But we're continuing to work through that. It takes a little bit longer to do the restructuring, but the clients are reacting very well and things have stabilized in Umanis. So, our playbook works very well from integration. It is a one company approach as I mentioned. I think that's, that's, that makes it may be a little bit more difficult in the short run. But it has greater benefits in the long run. And so, that's - we'll continue with that approach.  On general M&A, the pipeline is strong. We're seeing all the deals out there. It's really just a matter of timing. We remain focused on the most accretive deals. There's a larger deals in the pipeline. 25% of them are IP related deals. We maintain the aspiration. It's doable, but clearly, we could run out of runway this year.  But, just a handful of these deals could get us there. But you can count on us to be disciplined on this. Sellers can't be rushed and we're not going to - we're not going to rush to a bad deal. So that's really the maintain the focus. I don't know. Steve you want to add anything to that? 
Steve Perron: No. 
Divya Goyal : That's great color. Thanks a lot guys. I’ll pass the line. 
George Schindler: Yes. 
Operator: Your next question comes from Stephanie Price from CIBC. Please go ahead. 
Stephanie Price: Good morning. 
George Schindler: Hi, Stephanie. 
Stephanie Price: With discussions around the U.S. debt ceiling, can you remind us how suggest Federal businesses faired in prior instances? And how we should be thinking about the US Federal business here as we head into, essentially a bit more of an uncertain period in the US Federal business? 
George Schindler: Yeah, it's a really - it's a it's an interesting time. It seems like it's always an interesting time in the US Federal government markets. But look, right now, point in time, let's - I am put the debt ceiling aside for a minute. There's really strong spending with the current budget. And there's a couple reasons for that. One. knowing that specter this of this debt ceiling is out there because, they're taking special measures just to keep things going until that comes to a head.  And probably, more importantly, the specter of most likely a two year continuing resolution, because you've got Congress in one side of the aisle, probably won't change. You've got an incumbent president who just announced his re-election campaign. And so what you're going to get is, is basically continuing resolutions.  No approved budget. Of course, he's put forward, a nice budget for us as far as medicine spending but you're not going to see that come to fruition. I would say in general, these times favore the larger firms with the larger incumbencies. And so that's what we've seen in our business there. We see rushing to may be - rushing to expand on existing contracts. Use the existing frameworks, book as much as they possibly can, spend the money that they have now.  And then, as you get into the continuing resolution, there's a couple factors that help CGI. One is our fee-based business. So for example, that work we do with the passports and visas, it's totally fee-based. It’s outside of the budget. If you do work for the SEC, it's funded outside of the Congressional budget. So when it's fee-based funding that, that certainly helps us.  It also helps us to be kind of that ROI-led and innovator and be seen that way because if we can drive out some savings in one part of our business, then they can use that on a current existing contract vehicle to deal with unfunded mandate. And that's what happens in government at times like this. There's still a mandate but they don't give any budget for that.  And so that the agencies really have to work around that. And certainly that's when incumbents see really comes to fruition. We're also seeing D&I and sustainability enter into more and more of the contracts in government around the world. But particularly in the US Federal government, which is kind of like an unfunded mandate and that, it's just an add-on.  And again, only the larger firms like a CGI can actually meet that. So, it's - I don't want to say that we that we hope for continuing resolutions. We do better in a budget but we do - we do fine in that type of environment given our incumbents. 
Stephanie Price: Great color. Thanks. And then, one other one for me. In terms of IP, it sounds like IP has definitely been a differentiator here for CGI in a somewhat uncertain environment. Can you talk a little bit about where you seen the strongest demand in IP both in revenue and bookings here? 
George Schindler: Yeah, well, in the quarter, it was really around our wealth platform. Our payroll IPs, both here in Canada and around the world. Our retail suite particularly in Europe and our open media had a good good quarter around the IP. And we have good growth in health and utilities. Overall we've do see an increasing shift to Software-as-a-Service. So it was one of our biggest quarter-over-quarter shifts.  So we're now at about 60% of our businesses in Software-as-a-Service. Expect that to continue just given the uncertainty that's out there and as people look at their CapEx spending except for the probably moving away from some of the licenses. As I mentioned, you saw a little bit of that in the numbers. That's fine with us, because it’s over a period of time, it always costs more to rent something than to own something.  So, it's just that the revenue moves around a little bit for a period of time. But overall, the Investments we've made in IP around architecture, around allowing it to plug in to other systems, ease of use as it continues to pay dividends for us, we speak moving forward. And as I mentioned, even bringing new technologies like generative AI and even more importantly, kind of a deep machine learning into the IP is just making it more productive for our client and that gets back to that making experts more productive.  That's what we - that's what we - that's kind of the value proposition of some of our IP. But I'll tell you, we do have some use cases there. But it's always human-assisted AI in the way we've brought that to the market so far. 
Stephanie Price: Great. Thanks so much. 
Operator: And your next question comes from Robert Young from Canaccord Genuity. Please go ahead. 
Robert Young: Hi, good morning. One more question on the bookings if I could. Just trying to understand the short-term impact. If I understand what you’ve said this shift in the mix towards the consulting in bookings is more a function of longer sales cycle on managed services, rather than a longer-term sort of an impact. Just given that your peers are talking about some short-term macro concern that maybe – like why - where does the confidence come from that that's a shorter term impact? 
George Schindler: Well, I think it's looking at the pipeline. Looking at the discussions we have. Looking at the voices of clients. I'm not suggesting that that macro environment. You can look at it in a number of different ways. What we're looking to do is to make sure that we pivot our work to the opportunities that are out there. Look, I think what you see out there and certainly this is true with the clients I talk to that that spoke very openly about this. They weren't necessarily looking to reduce their IT spend.  But they were reducing the programs that they were working on. So, it depends on where you are, right? So, if you're if you're working on a program that they decided is not ROI-led. It’s not an area that they're going to invest in this year. Then it looks like they're stopping it and you got to pivot to the areas that they are spending.  And so that's what we're seeing. And we see that we talked a little bit about the vendor consolidation. It's a little bit different this time around. It's not a - it's not a concentrated effort to consolidate vendors. It's more about consolidating the work, which then has the same effect as doing some of the consolidation of vendors. But it's different. It's led by the opportunities themselves and the business cases themselves. So that's still work to be done.  If you look at the bookings though, the shorter duration by definition on the SI&C gives you a lower total dollar value. And so, that's why when I when I talked about the bookings to the extent that we get some of those managed services deals over the line, that that will certainly be a tail for bookings. 
Robert Young: Okay, thanks a lot for that. That's real helpful. And then maybe the second question just a comment you made, I think you said that, you're seeing some shift in focus from burn - internal IT efforts towards work with external may be chasing profitability. I think, how do you describe that? Could you talk about that trend?  Does that mean that there's maybe a step function, maybe a rebadging and maybe outsourcing of maybe larger parts of your customers business? It was just - I mean, you've already been very bullish around managed services, but like, is this, are you suggesting maybe there's a step function there? 
George Schindler: I don't know if it's a step function in the quarter. I think it's a more of a function of where we've been heading as I've been discussing for a while. And I think there's any big step function here. It's more just directionally where we've been heading? And yes, when we do a lot of those managed services deals, it does come with some of the other people.  But, the point I was making on the difficulty on hiring IT talent, I think plays to even if a client would want to do more of the work themselves, right now point in time they can't. I think that's part of the drive on some of that SI&C even point in time. I don't think that's a trend. I think that's just point in time. And it is interesting to understand that even in the current environment, the certain skills in IT are still somewhat scarce.  And that's why I mentioned the investments that we're making in talent – in growing the talent and in engaging our talent, both for the benefit of CGI and the individuals but also to the benefit of our and I think that's appreciated. 
Robert Young: Okay. And last quick one just the organic growth. If you can give us a number on that there is – it seems tight to me. I just want to make sure if you have the calculation, right? 
George Schindler: We don't we don't split out the organic and the inorganic because again, the inorganic is a catalyst for organic. We make concentrated decisions in some cases to stay with enterprise clients and certain geographies and sometimes that means running down other business. So that's why we don't really break that out. Okay?
Operator: [Operator Instructions] Your next question comes from Jason Kupferberg from Bank of America. Please go ahead. 
Tyler DuPont: Hi, good morning George and Steve. This is Tyler DuPont on for Jason. Thanks for taking the questions. Just a quick follow-up on the demand environment. You mentioned the project elongations and that enterprise IT decision makers seems to be coming incrementally selective and what projects they're interested in funding.  But have you seen any projects getting cancelled in their entirety? And if so, are there specific verticals of geographies to call out? Or are these projects more likely to be delayed and pushed to the right if you will for further revenue conversion? 
George Schindler: I see more delays like not now. But, in the future I had some specific discussions about that with some clients mainly around projects that they decided to start at a later date or push off. Again, it's that - that's struck or focus on on the return of investment. Not wholesale, but, it's really, client-by-client. I can't really quantify it by - I don't see any big difference by industry or by geography. It’s more just client-by-client.  And again it’s why that - you got to have that close relationship with the client. That's the essence of that ROI-led Innovation, you got to know the client, you got to know the clients’ business and then you need to bring the technology skills to bear on that. And so that's really what we remain focused on. 
Tyler DuPont: Okay. That's very helpful. Thank you for that. And just my follow-up there, when looking more the vertical specific level, it seems like it was pretty strong performance, kind of across the board particularly, government – that was offset it seems, at least based on my calculations by a little bit more miles growth on the health side of things.  Could you maybe just in a few minutes just digging into bit of the dynamics you're seeing in the health space? Is there any specific call-outs there worth mentioning or anything that will be helpful. 
George Schindler: Yeah, it's very- it’s very perceptive that you're absolutely right. We did see, although we saw a steady growth in health that was at a lower level. It's more steady. I think it's more even if you think about it, they had such explosive growth given what the world went through? I think they're digesting some of that. And so, I don't see that necessarily as a trend. But we'll keep watching it. 
Tyler DuPont: All right. Sounds good. Thank you very much. 
George Schindler: Yes. Yes. 
Operator: Mr. Linder, there are no further questions at this time. Please proceed with your closing remarks. 
Kevin Linder: Thanks Julie, and thanks everyone for participating. As a reminder a replay of the call will be available either via our website, or by dialing 1-877-674-7070 and using the pass code, 993424 as well a podcast of this call will be available for download within a few hours. Follow-up questions can be directed to me at 1-905-973-8363. Thanks again everyone and look forward to speaking soon. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for joining and you may now disconnect your lines.